Operator: Good morning, everyone and welcome to the TUI AG Full Year ‘25 Q1 Results Webcast. My name is Drew and I’ll be the coordinator for today’s call. [Operator Instructions] It is now my pleasure to hand over to Nicola Gehrt to begin. Please go ahead when you’re ready.
Nicola Gehrt: Thank you. Good morning, ladies and gentlemen. A warm welcome to our first quarter 2025 results presentation. My name is Nicola and I am Group Director Investor Relations, and I am here with our CEO, Sebastian Ebel and our CFO, Mathias Kiep. As you know, today, we present not only our first quarter results, but we also hold our Annual General Shareholders Meeting. That is why I would like to ask for your understanding that we will need to limit this call to about an hour, but I’m sure we’ll have sufficient time for a good Q&A session afterwards. And with this, I have the pleasure to hand over to Sebastian and Mathias to present another set of strong quarterly numbers. Sebastian, over to you.
Sebastian Ebel: Thank you very much, Nicola, for the nice introduction. A warm welcome also from my side here from Hannover, a quite busy day for us today. The agenda as you know them I will give a short overview about our Q1 operational and strategic highlights. Mathias will dive into the Q1 results. I will talk about the trading outlook and a short summary. Again, in the first quarter, we saw the strong benefits of our integrated business model. The market distribution powerhouse was driving very strong KPIs into our differentiated holiday experience products. And holiday experience products are seeing a sustainable asset right growth who serves strong global markets. And Markets & Airlines is in the transformation, generating dynamic growth and driving profitability in a competitive market. And by saying that, we can, and Mathias will do it later, a little bit more specific, we can say that we are well on track to deliver mid-term ambitions, also short-term ambitions to grow underlying EBIT by 7% to 10% per annum. If we look into the highlights. The first highlight is it I sometimes forget it’s the tenth consecutive quarter of underlying EBIT growth, this time very much supported by the hotel, cruise and TUI Musement. Overall, revenues up 13%, underlying EBIT of 51% driven by holiday experiences. Markets & Airlines anticipated, as anticipated, with higher investments ahead of summer, by the way, also ahead of our internal budgets. M&A bookings positive on flat capacity assumptions. This year, we were quite careful about the fixed capacity winter plus to summer plus to with ASPs higher with 4%. Holiday experience’s Q2 trading remains very well on track and a good start to second half year with very strong demand and higher rates for unique and differentiated products. And by this, we reaffirm our guidance for full year ‘25 underlying EBIT increased 7% to 10%. And I would like to remind you that we will see an Easter shift March to April, which will lead to a shift also in profitability of €30 million to €40 million into Q2. If we go into the details, very, very strong performance on hotel and resorts up €60 million, bed nights 3% up, occupancy 2% up and the daily rate, again, strong 5%. We are very much benefiting from our global reach that, for example, in the Caribbean or even in Spain, we now get more and more global customers from the U.S., from Canada, from South America. And this will, for a long time, fuel the occupancy and rates in our hotel business. Cruise up by €14 million despite some extraordinary refinancing costs within TUI cruises, capacity up 10%, you may recall that there was the delivery last year of Mein Schiff 7%, occupancy around last year and rates up 4%. The 4% is a very strong number, because more than 50% of costs in cruise for cruise are non-cost, which are non-inflated costs, because the depreciation is fixed off a ship. The interest rate is fixed or even going backwards. Fuel is going backwards. So, this is driving the margin. A very nice development TUI Musement, €9 million more. But what is by far more important we have seen experiences growth by 12%. You remember the strategy we have more products, more customers. One of the vehicles is Musement. We are getting more and more last time, 20,000 more customers into the ecosystem. And this drives a lot of new customers in future for the Markets & Airlines sector. Markets & Airlines down by €30 million. This is mainly from – exclusively from the Nordic, Northern European markets, the UK. The reason are investments into the summer distribution, resilience and especially on the transformation, you know that we have offering Ryanair since December more to come. The Central region very stable despite investments into new markets, Eastern European markets and also Western region, stable compared to last year. What is good to see is that the dynamic packaging is growing by 18%. As said, we have been stable on the risk capacity. This was important for us. We want to grow in future with dynamic build packages, also nice to see upsides, up 40%. And nice to see that with now 10%, we are still having a great potential to achieve and the load factor has been stable. Some highlights. We have seen strong development of dynamic offer. If we look to the last 4 weeks in the UK, Dynamic Packaging were up by 25% versus previous year. And what we also will have more and more dynamic content coming into the UK, but the next markets will be the Nordic markets that should be also a game changer there. And just to remind all of us, Ryanair package in the UK went live middle of December. So the first significant volumes we have seen in January and we are very pleased about the volumes. And as said, more airlines will come to the UK and Ryanair connections and dynamic connections will come to the Nordic, so, Scandinavia plus Finland in the first quarter. App Sales and our strategy is very much on retail and on app is in the UK, now 20%, which is almost 50% up to previous year. And we do significant also investment into getting customers into our app. Retention is good, pricing is good, and we do see that as a long-term trigger for profitability and therefore, we have done a lot of improvements and the roadmap looks very promising for our app. On the hotel side, the growth in Asia, we just opened the Robinson Club in Vietnam, the real opening had been around a turnoff year and TUI BLUE, first hotel in Indonesia, and as said before, we have seen a significant growth and we will anticipate significant growth of our hotel business in the Far East. And sustainable is part of our DNA. It has not been a trend where we are in and out. And with all the changes we see in the world, we keep on investing into sustainability. First, we think it’s very important for the world. And we do see it as an opportunity, not as a threat, because we have very good commercial business cases. And it’s even better if we see that our efforts are recognized when it comes to rating, when it comes to special awards. And as said, we are moving forward in our sustainability agenda. By the way, the new ship, which that’s Mein Schiff 7 which came last year is a methanol ready – green methanol ready ship and the Mein Schiff Relax, which was given to TUI Cruises last Friday is an LNG ship, which will also be consume green LNG. Mathias? Heart numbers.
Mathias Kiep: Thank you so much, Sebastian and a warm welcome also from my side. On the numbers before I hand back to Sebastian on trading, and we look at what is ahead of us this year, the usual summary on EBIT, the details to P&L, cash flow and balance sheet. I think key is this is an encouraging start into our first quarter – with the first quarter and our full year and with an EBIT improvement by another €45 million, this is the second time we have a positive first quarter. Normally in the winter period where the company is doing losses, seasonal losses, so that’s a real good development. On net debt and cash flow, I’d like to provide some details later. On the financial strategy, we have a couple of really pleasing milestones that were achieved in the last and recent days. One is, of course, we – the rating we worked together for the first time with Fitch and they attributed a BB rating to TUI. This is the rating category that we had prior to pandemics in 2019. And I think that’s really great to see our financial discipline and structures being reflected here. Second news is that in the context of all this refinancing, that’s something we presented in the summer. We have also now just to tick the box, formally handed back KfW. So that this is also now formally out of our balance sheet. This was an unused facility as we always said. And then the last point is that, that’s really great to see that the UK pension schemes, the last scheme is going to be filled earlier than we expected and that this is expected to still happen this year. And so the payments in this will then fall away from ‘26 onwards. I’ll provide some details later in the deck. In terms of EBIT development, Sebastian has just described it. You can see it in summary here well. It’s a lot of improvement coming from the product side, hotels, in particular, Rio performance cruises very strong, again, Marella, which is really pleasing given that there is no new tonnage in the system. It is an operational improvement in the Musement, which I always like to see. One is, of course, it’s nearly double-digit improvement. And at the same time, this shows our guests are continuing to pay and to spend when they are on holidays with us. And this is a really good sign in the environment that we are in today. Market service is minus €30 million, that’s in line with our expectations. Sebastian mentioned it, investment into the summer. We have some costs from the Boeing order book. We now take aircraft whenever we get them rather than there is an optimized delivery schedule for the winter. We have these additional costs also for sustainability that you have then even more in the winter where the margins are lower. So I think, again, always in expectations, it’s also investment into the summer, where we want to see a better development. In terms of details to the P&L, cash flow and balance sheet, let me highlight some for the P&L first. SDIs, low level and in line with expectations. We continue to expect a higher volume here towards the second half of the year. Interest expense another improvement versus prior year, now just taking the €80 million that you see for the first quarter x4 would result in a much lower interest result compared to our guidance. There is one impact that we have that we now, with the refinancing, there are more interest payments in the second quarter compared to the first quarter in the past. So, this will kind of fade out while we still think we can do better than last year, this will not be the 4x and we, for the moment, reaffirm our guidance. The rest of the P&L elements again within our expectations, and you see that the EPS loss, which is normal for that part of the season has improved. In terms of cash flow, if I may highlight two, three elements. First, to start with working capital, this is really great to see, because it’s in absolute terms, the same level that we had last quarter. We are now in the lower turnover period we have the payments from the summer. And despite this substantial increase in sales that we had last summer, we are in the absolute same level in terms of seasonal outflow. That’s really a great result. What I would also like to highlight here again is interest. You see the same pattern even more so than we see in the P&L interest, because the non-cash interest is not shown here, obviously. But again, this report, you can – we shouldn’t take this €50 million level x4 because there will be more payments because of the instruments being semiannual coupons in the second quarter. On the pensions, in line with our expectations, but as I said, the great news is that we expect that this UK scheme, the last scheme there will be fully funded in our fourth quarter. And we will not have further payments from ‘26 onwards in the UK and that’s an amount in the past of around €80 million that we paid there. Important, this quarter is also investments. There are some €200 million higher. There are two effects. One is that we had a lot of disposal proceeds last year. There was the earn-out from the Rio disposal. There was a hotel on the Calvert [ph] that we sold to the hotel fund, in particular. And there is also phasing this quarter compared to last year from hotel projects that were initiated and where payments are more now compared to a year ago. So this is within our expectation. At the same time, it’s, of course, €200 million more spend in that specific quarter. And that’s something we will also see and we see on the balance sheet, because we are flat compared to last year and this positive deviation that we had in the fourth quarter of last year, is then one, driven by this more CapEx quarter-on-quarter in the first quarter is going down. Second, we have because of the deliveries and renewal of leases to some €200 million of more lease and asset financing liabilities for the aircraft directly on balance sheet and a bit of FX movements, the strong dollar is impacting in particular our lease liabilities. So overall, the net debt is flat. You could say only. At the same time, this is fully within our plans. And the leverage is going down. And in particular, you see how this has been appreciated by Fitch with the first rating in the BB category since 2019. And with that, let me hand over back to Sebastian with our look ahead and we would start with the booking.
Sebastian Ebel: Thank you, Mathias. Looking at Markets & Airlines, bookings are with plus 2% for winter and for summer, a positive ASP plus 4%. The winter is almost sold and we anticipate and expect a winter as we have planted. Summer, one-third is sold, which means we have to sell two-third. And we – if we look at the bookings per week, we have seen that there was a slowdown around the turn of the year. Bookings have – I think that is mainly because of the weather situation, and it has picked up significantly in the last weeks and in the last days. For us, it was important to keep the capacity flat and to grow in future with the dynamic content. And as we are now bringing the capability of dynamic content into the market, we anticipate that we will grow with a dynamic content. On the holiday experience side, we expect a very strong second quarter, but also a very strong second half of the year. Capacity is flat. Occupancy with another increase and a daily rate increase now at plus 11%. We have seen a strong increase before in the second quarter and then even stronger we do see for the second half. On cruise, as you may know that the capacity is, again, with 1 ship growing in April, we have an occupancy, which is despite the strong growth plus 1% and the daily rate plus 3%. Very nice is also development of TUI Musement. A lot of things – good things are coming up there. As we anticipate for the second quarter, a high single-digit growth, we now expect a low double-digit growth in the second half year. Why is it so important? As said, it brings us new customers with new products into our ecosystem. And that leaves us to reaffirm the guidance.
Mathias Kiep: Thank you, Sebastian. And indeed, I think the major components are our guidance on sales, 5% to 10% this year. You saw a first step in the first quarter and Sebastian just presented the bookings that support that, same on the EBIT side, 7% to 10%. First, a good step done in the first quarter, as you just said, Sebastian, another shift from Eastern to be expected in our second quarter. This for the full group of TUI, we expect to be around €30 million, which then would shift from Q2 into Q3 and then we would expect further growth of earnings in the summer. In terms of components, it’s effectively the structure that we have looked at when we presented the details to Q1. So, no major changes with the outlook on a segment level as of today and the same applies to our modeling adjustments. So, the details to P&L and cash flow, we went through that a minute ago when I went through Q1 P&L and cash flow. That’s in line with the structures that you see today. And with that, Sebastian maybe some final words from your side.
Sebastian Ebel: Thank you. So, a strong quarter, reassuring the guidance, short-term and long-term. And the components will be the accelerated profitable growth by implementing global platforms. We are going to improve profitability and margin. This will lead to a stronger balance sheet. And there is a strong focus on cash. And more details, we want to give to you on the 24th and 25th March ‘25 because we have a lot of exciting news to present and therefore, we are all looking forward to these two days. It will be about the Markets & Airlines transformation and our development on our holiday experiences products. Thank you.
Nicola Gehrt: Operator, we are now available for Q&A.
Operator: Thank you. [Operator Instructions] We’ll now take our first question from Jamie Rollo from Morgan Stanley. Your line is now open. Please proceed with your question.
Jamie Rollo: Thanks. Good morning, everyone. Just three quick ones, if I may. First of all, on current reading, are you concerned about the volume slowdown in Germany compared to the figures you gave in December? And also, why have the hotel ADR figures, why are they accelerating in Q2 and the second half of the year compared to Q1? It looks very strong. Secondly, on the rating upgrade, how should we think about any benefit to the €400 million P&L interest expense over the sort of the next year or two, particularly in the context of the RCF refinancing? And then just on the guidance of 7% to 10%, I don’t know whether your 7% to 10% was including the 1%, €15 million from the hotel balance sheet valuation, but it looks quite conservative now. I think you need about 5% profit growth for the remaining 9 months to hit the midpoint. So presumably, you are feeling pretty comfortable with that 7% to 10%? Thank you.
Sebastian Ebel: Thank you, Jamie. I will do the more operational question. Mathias will talk about the financial rating question. On the hotel side, we are benefiting very much from our global portfolio of hotels and the increase of global travel. If you look at the Caribbean where we have a strong footprint hotel, the demand for this hotel is very strong. And it’s very much from Americas. And also, this is valid for the European for the Spanish hotels, for example, where we do see more and more demand from outside Europe, from the Middle East, from Asia, from the Americas. So there is undersupply in a lot of regions for hotels. On the bookings for Germany, what has been important for us is the margin protection. It is – we had some campaigns, which were more in the first quarter than the second quarter. At the moment, we very much secure margins and that’s why their increase has come down. We don’t expect that the margin will weaken. It’s more how we steer the volume. And Mathias, you would go for the rating question?
Mathias Kiep: Rating and interest guidance, if I may, good morning, also from my side, Jamie, in terms of the RCF, that’s indeed directly linked. So, our seasonal credit facility that’s directly linked to rating category, it’s also up for renewal and will be – is expected to be kind of set up in a new way prior to the summer. At the time – so there is a direct link of costs that we pay for the RCF. At the same time, the biggest cost that we have in the RCF actually the commitment fee given that its post refinancing and post kind of how the financial structure of the group is, today, it’s not drawn a lot anymore over the winter. So, it’s only – if you look at our Q1 numbers as of December, it was only drawn by €4.6 billion compared to the facility size of €1.5 billion. So there will be an impact on it, but it’s in the overall interest bucket that we have, it’s quite a small component only. I would expect more kind of savings from the rating category going forward, in particular from the mid-term impact that this has on the lease and asset financing portfolio. On the refinancing as at that we did last year, so the high yields and the convertible, they were more or less both in – already in the BB territory. And I think on the guidance, we called out, in particular, this balance sheet valuation effect because that’s triggered by the U.S. dollar development, so that may reverse over time. At the same time, look, I think it’s – the performance in Q1 helps us to reaffirm the guidance for the full year.
Jamie Rollo: Thank you very much.
Operator: Our next question today comes from Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Hi. Good morning. Two questions from me, please. Firstly, just from the FTI benefits, like can you help quantify what you have seen so far and kind of how you are thinking about that in your guide for the year? And then secondly, just within your guidance, how are you thinking about the – EBIT growth for the rest of the year? Thank you.
Sebastian Ebel: I can do the FTI. We have seen partly the FTI impact last year, there might be a small impact – positive impact for this year. It will be distributed between all the main player. What the margin and the profit impact will be, it’s very difficult to know. I mean the risk with FTI was known in the market, at the same time of last year. So, therefore, it’s not easy to really judge how that will affect the market. Sorry of being not more precise, but it’s difficult to judge for the time being it could – should have a positive impact, how big it will be, we will see.
Mathias Kiep: Thank you. And then the question – and good morning. The question on the holiday experiences, I think we expect that we will see this slight modest growth for the rest of the year. I mean if you go through the segments or the units in the segment, Musement, probably their biggest step forward was in the first quarter. At the same time, I expect all the rest of the quarters that they continue to raise their profit in line with the volumes that are delivered on top to them. On the cruise side, we have the new tonnage in two cruises, the relax Sebastian mentioned, so that will contribute. At the same time, if you look at Marella, they had a particularly strong year. Last year, there are some higher costs that they will have in the summer coming from ESG, so the ETS they have on fuel as well. So, that’s something they have to work against. And then the hotel performance, that of course, was very encouraging in the first quarter. And at the same time, they had a record Q4 last year, which is obviously the biggest contributor to their profits. So, I would say, overall, we continue to look at them with a slight growth for the full year.
Muneeba Kayani: Thank you.
Mathias Kiep: Thank you so much.
Operator: Our next question today comes from Richard Clarke from Bernstein. Your line is now open.
Richard Clarke: Thanks for taking my questions. Three for me. Maybe just starting on the inclusion of Ryanair, you are still saying flat capacity for the summer, was Ryanair an addition to that, so you are taking other capacity out to match that? And how should we think about trips using Ryanair? Do you make any profit the Markets & Airlines on a Ryanair trip or is all the profit taken at the sort of hotel side of the business? Secondly, just on cruise, occupancy at 95%, down year-on-year. You are running at sort of 100% occupancy in 2019, so can you get back to that kind of level? What’s the missing occupancy in cruise? And then just lastly, in 2019, you were BB rated, you paid a dividend, so is BB enough for the dividend to come back, or do you need a sort of another ratings upgrade for the dividend to be brought back in?
Sebastian Ebel: I will do the first two questions, Mathias. I do start with a very easy one. The cruise is doing very well. I assume despite the strong increase of capacity that we will see similar occupancies and very good rates. When I talked about the UK capacity being flat, that I meant the risk capacity being flat, and the growth should come from the dynamic content Ryanair, easyJet or other carriers still to come. And this effect, we will see for the first time in January, as we started in December, second half of December and so the first – the main impact will be in the remaining month of the year. Please accept that. We don’t want – and I don’t want to give you profit numbers on partners with whom we fly, but be reassured that any incremental business is very positive to profitability. And one thing is also true and thank you for you to mention it. The more customers we get, the better it is for our assets. And that’s what you have seen and especially in winter, you do see that strong distribution helps to get the last improvements out of the assets. And by the way, this is not only valid for hotels. It’s also valid for the cruise sector. The 90% of the distribution Marella is through the TUI network, and only 10% is through a REIT to third-party retail with TUI cruises, it’s the same. The share of flying is very, very high as well. So, you could also see some of the profits in Marella or in TUI cruises in TUI. So, what is important for us that the outstanding occupancies load factors are secured by the very strong distribution we have.
Mathias Kiep: Yes. And good morning, last question on the rating upgrade and that what’s the implication on potential dividend going forward. I think indeed the rating is something when we looked at what needs to be done to keep kind of – effectively to have a basis to define a dividend strategy, then the rating was the missing core element. Now, we have the two incumbent rating agencies. They have just started with their review, and we need to wait for their feedback. Of course, this is very encouraging in terms of how Fitch is looking at us. At the same time, I think also our Supervisory Board is very clear that we need to do the homework first then we can have the discussion. And on that basis, we will present end of ‘25 the dividend strategy. We expect to do this going forward.
Richard Clarke: If I can, I will just ask a quick clarification on the first answer there. On Slide 16, it says bookings positive on flat capacity assumptions. Just trying to unpick – are you saying capacity actually won’t be flat. It’s just risk capacity that’s going to be flat. And you are expecting to – yes, so that maybe just what is that assumption then? So, actually, the booking numbers you are presenting on Slide 16, just risk capacity, just trying to understand that assumption you put at the top of Slide 16.
Sebastian Ebel: Yes, it’s risk capacity.
Richard Clarke: Alright. Thank you.
Operator: Our next question today comes from Chandni Hirani from Barclays. Your line is now open. Please go ahead.
Chandni Hirani: Hi guys. Thanks for taking my question. You touched on the slowing Germany bookings. But are you at all kind of concerned on the negative bookings still see in the UK? Sort of what gives me conviction on this improving and helping that moderate growth embedded within your guidance?
Sebastian Ebel: As said, we have – we feel comfortable with the actual booking status. We see that bookings seem to be slightly later. Germany is in a good – the market is in a good condition. And therefore, what we do see for summer supports our guidance.
Chandni Hirani: Thank you.
Sebastian Ebel: Thank you.
Operator: Our next question comes from Cristian Nedelcu from UBS. Your line is now open. Please proceed with your question.
Cristian Nedelcu: Hi there. Thank you very much. Maybe the first question, can you help us quantify the total investment you made in the Markets & Airlines like in shops marketing? Can you give us a ballpark number in Q1 just to better understand the evolution of the EBITDA year-over-year? Secondly, coming a little bit back to the UK market, so we are seeing two of your largest competitors adding their capacity – growing their capacity by 9% respectively more than 20% this year, do you see signs that competition is also increasing? I mean we see our bookings number. We see the macro environment seems to be weakening a little bit in the UK sequentially, how do you see the whole dynamic there? And I think maybe lastly, just again, thinking of the – coming back to the prior question, you guide for moderate growth in EBIT for this year in Markets & Airlines. Can you give us a bit more color there? What are the profit drivers? You are already minus €30 million year-over-year. Bookings up 2%, does not sound amazing for the summer. Revenues up 13% in Q1, didn’t stop the EBIT from falling. So, can you tell us a bit more what are the – in that bridge of EBIT for the Markets & Airlines, what are the factors that give you confidence that you can observe moderate growth? Thank you.
Sebastian Ebel: We had a different approach on a tad. We have a different approach to the market in the UK, which by the way, it’s only one market of a lot of others well-performing markets. We didn’t want to grow our fixed guaranteed capacity. And it – the strategy, which we defined is and the growth should come from dynamic packaging. And if there is significant growth of airline capacity, we should very much benefit from having access to this capacity. So, fixed capacity, flat growth through dynamic and the growth of Domenic will now be possible because we have the technical capabilities to do so. We not have yet all airlines. This will come in the coming weeks. By the way, we don’t have this in the Nordic, South Scandinavia, Finland countries. This will also come now in the second quarter. So, the strategy is very much built on selling dynamic packaged products. And the investments we have taken should be seen in the deviation we do see for the UK in quarter one.
Operator: [Operator Instructions] Our next question comes from Andre Juillard from Deutsche Bank. Your line is now open. Please go ahead.
Andre Juillard: Yes. Good morning gentlemen. Thank you for taking my question. Just wanted to come back on the operating trend in Western region, we have seen a relatively low trend. So, you said that you were expecting the dynamic package to come back and you have taken some measures, but could you detail a little bit more what are the different parameters and how they could positively impact the rest of the year? Thank you.
Sebastian Ebel: As said, there is no need to sell more fixed capacity, which should protect margin. And the growth should come in all countries from dynamic packaged products if you only look to Markets & Airlines. We do see also that sales come more through cheaper distribution channels. We have been working hard on being cost competitive. And we do see that the comparable in the first quarter to last year had been very high. And we also see a significant benefit in our hedging position for summer where we have been hedging significantly better than for the winter, fuel hedging.
Andre Juillard: Okay.
Sebastian Ebel: Thank you.
Operator: Our next question is a follow-up from Cristian from UBS. Your line is now open.
Cristian Nedelcu: Thank you very much. Also, I am coming again to the moderate growth in EBIT in Markets & Airlines, the guidance. May I add two data points I see the number of FTEs in Markets & Airlines in Q1 is up around 3.5% year-over-year. Maybe the question there is what is the growth rate in FTEs for the full year and equally so, what type of wage inflation are you seeing across Markets & Airlines just to get us a better feel versus the average selling price increases that you are showing. And secondly, coming back to your answer, in the context in which most of your growth seems to be driven by dynamic packaging, could you elaborate a little bit on the margin profile there, the incremental EBIT contribution from that? I guess what I cannot fully reconcile and I may be wrong, is getting to that moderate profit growth after the start in the year, which is minus €30 million. And maybe there are other levers of the improving profitability year-over-year that you can give us more color on it? Thank you.
Sebastian Ebel: It’s always the question of the comparatives, that’s why we feel comfortable about this moderate growth. As said, the dynamic packaging should contribute to it. The cost measures should contribute to it. The distribution should contribute to it. And that leads us for the – to the guidance we have given to you. And on the inflation, we benefit very much from the strong demand to our hotel businesses. And of course, this shows a little bit that there is – that the hotels are able to put price increases into the market. And that of course has also an impact on Markets & Airlines and we have both the benefit on the pricing of the hotel, and we need to offset that by higher ASPs and that’s why we were careful on adding capacity to our system.
Cristian Nedelcu: Understood. Thank you. And sorry, could I ask one last one, apologies. Just in the context, historically, usually the average selling prices for the year in most of the years in that tour operator tends to pay that down in the late season. Is there any reason why you believe this will not be the case this year or anything that you can change structurally in the market that you think that, that sort of historical average trend will not repeat this year? Thank you.
Sebastian Ebel: We are very cautious because the question is what is valid for this year? Is it the same as what we have seen in the years before, very difficult to judge. Therefore, we said we want to limit the risk on taking too much fixed capacity and we wanted to take the chance of growth when it is possible on the dynamic packaged product. And when we talk about dynamic package, you should also have in mind, it’s the best product we can sell as a dynamic flight with a wholesale hotel.
Cristian Nedelcu: Thank you very much.
Operator: We have no further questions in the queue at this time, so I will hand back over to Sebastian Ebel for closing remarks.
Sebastian Ebel: Thank you and thank you for your questions. A good start into the New Year, we are looking forward to the rest of the year. We confirm our guidance transformation is underway. It’s moving forward quick, that’s why we have scheduled the Capital Markets Day to give you some more insight that will be very exciting. As I always say, TUI of today is different to TUI of yesterday, and it will be very different tomorrow. And we also have very interesting aspects to present on Musement on cruise and holiday experience, our lighthouse products. And by this, we feel confident that we can not only achieve the short-term targets, but also the longer term targets. And I am looking forward, we are all looking forward to meet you in March – many of you in March in Madrid. Thank you very much.
Operator: Thank you all for your participation today. That concludes today’s call. You may now disconnect your lines.